Operator: Good day, and welcome to the Herc Holdings Incorporated Fourth Quarter 2019 Earnings Conference Call. Today’s conference is being recorded. After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Elizabeth Higashi. Please go ahead, ma’am.
Elizabeth Higashi: Thank you, Michelle, and good morning, everyone. Welcome to our fourth quarter and full year 2019 earnings conference call. Our press release, presentation slides and 10-K were filed earlier today and are posted on the events page of our IR website at ir.hercrentals.com. This morning, I’m joined by Larry Silber, President and Chief Executive Officer; Aaron Birnbaum, Senior Vice President and Chief Operating Officer; and Mark Irion, Senior Vice President and Chief Financial Officer. They will review the fourth quarter and the year-end results as well as our strategic outlook. The prepared remarks will be followed by an open Q&A. Before I turn the call over to Larry, there are a few items I’d like to cover. First, today’s conference call will include forward-looking statements. These statements are based on the environment as we see it today and therefore, involve risks and uncertainties. I would caution you that our actual results could differ materially from the forward-looking statements made on this call. Please refer to Slide 2 of the presentation for a complete Safe Harbor statement as well as the Risk Factors section of our annual report on Form 10-K for the year ended December 31, 2019. In addition to the financial results presented on a GAAP basis, we will be discussing non-GAAP information that we believe is useful in evaluating the company’s operating performance. Reconciliations for these non-GAAP measures to the closest GAAP equivalent can be found in the conference call material. Finally, a replay of this call can be accessed via dial-in or through our webcast on our website. Replay instructions were included in our earnings release this morning. We have not given permission for any other recording of this call and do not approve or sanction any transcribing of the call. I’ll now turn the call over to Larry.
Larry Silber: Thank you, Elizabeth, and thank you all for joining us this morning. Today, I’d like to officially welcome Aaron Birnbaum, our new Chief Operating Officer to our call. Aaron has more than 30 years in the equipment and rental industry, all of it with Herc. Most recently, he was responsible for operations in the West and North Central regions of the United States as well as Canada and our Herc Entertainment and Cinelease operations. Aaron was also responsible for many of the acquisitions the company made as a division of Herc, and he has responsibility for mergers, acquisitions and strategy of the company. We’ve now completed 3.5 years as a public company. The strategy put in place when we spun in mid-2016, provided the framework for our improvement in profitability and cash flow and continues to provide a road map for our future activities. Last year, we continued to focus on quality of earnings and capital efficiency through the execution of company-wide self-help initiatives to increase our operating margins and profitability. Our strategic initiatives, once again drove industry-leading year-over-year price improvements that contribute to higher adjusted EBITDA margins, volatilization and positive free cash flow in the fourth quarter and full year. We’re excited about 2020, which we expect to be another solid year. Industry metrics continue to be positive in the key areas of our interest and our interactions with contractors and customers reinforce our continued belief that the markets in which we participate are stable and growing. Our strategic initiatives on Slide 4 serve as our roadmap to improve dollar utilization and EBITDA margins, enhance free cash flow and reduce net leverage. We expect to continue to make annual year-over-year progress in these important financial metrics and are committed to closing the gap with our industry peers. Now please turn to Slide number 5 for a summary of our full year financial results. Equipment rental revenue grew 2.6% to $1.7 billion. Our revenue growth in 2019 was focused on organic growth with a limited amount of fleet growth. We were consistently focused on pricing all year and led the industry with 4% linked growth. Total revenues were nearly $2 billion, up 1.1% compared with last year. We reported net income of $47.5 million for the full year or $1.63 per diluted share. Keep in mind that net income included onetime cost of $53.6 million from debt extinguishment related to the refinancing of our notes and our ABL credit facility. Adjusted EBITDA increased 8.2% to $741 million for the full year, reflecting success in our initiatives to control direct operating expenses and SG&A. We actually cut our direct operating expenses and SG&A expenses in 2019, which created exceptional flow through and margin expansion. Adjusted EBITDA margin was 37.1% for the full year, which was a 250 basis point improvement over the prior year. Now please turn to Slide number 6. We’ve grown equipment rental revenues by a compound annual growth rate of 8% for 2016 to 2019, outperforming the industry growth of 5.5% over that same time period. Our revenue growth has been focused on organic growth and improved fleet utilization. Adjusted EBITDA grew 11.4% over the same time period all with organic growth and our self-health initiatives to improve efficiency. Adjusted EBITDA margin has risen from a level of 33.4% in 2017 to 37.1% in 2019. We also reduced our net leverage from 4.1x at the end of 2016, thus, 2.8x as of December 31, 2019, below the midpoint of our targeted range of 2.5x to 3.5x. Now I’m going to ask Aaron to pick up from here to discuss our fourth quarter operating performance and his goals and priorities for the organization. Aaron?
Aaron Birnbaum: Thank you, Larry. I’m thrilled with the opportunity to help lead this great organization and look forward to meeting many of our investors and analysts over the next several months. Let’s move on to our discussion of 2019 operating results on Slide 8. I’d like to begin with safety, as this is one of our most important internal metrics and at the center of everything we do. In 2019, we continued to make strides in improving our safety record and reduced our total reportable incident rate to 0.84 in the United States, outperforming our target of less than 1.0 for the year. Throughout our locations, we also continue to focus on the simple concept of a Perfect Day, which means no OSHA recordable incidents, no at fault motor vehicle accidents and no DOT violations. We celebrate those locations to report a perfect safety month. All of our branches recorded at least 85% Perfect Days through the fourth quarter of 2019, with many of our locations reporting 100% Perfect Days. Our goal is for continuous safety improvements throughout our entire organization. Slide 9 illustrates the continuing improvements we made in the fourth quarter of 2019 compared with 2018. The graph on the upper left illustrates our year-over-year pricing over the last two years, with the latest quarter up 3.3% over last year and up 4% for the full year. We have now increased rates for 15 consecutive quarters. This slide also shows average fleet at OEC was up 0.7% in the fourth quarter of 2019 over last year. Our disciplined approach from the beginning of 2019 was to control our fleet spend by focusing on higher dollar utilization categories and disposing older equipment. This resulted in average fleet size running flat year-over-year. Our average fleet on rent during the fourth quarter of 2019 was down 1.3% compared with last year. With limited fleet growth, we have been focused on driving volume, with improved utilization and efficiencies in our fleet management. We believe this was the right strategy in Q4 and are happy with the excellent rate growth and positive mix, but would have preferred better volume. We will continue to focus on volume growth in 2020 as we expect market conditions to remain favorable. As a result of the improvement on pricing and mix, you can see the steady gains we made year-over-year in dollar utilization. Fourth quarter dollar utilization reached 40.5%, an increase of 80 basis points from a strong fourth quarter performance in 2018. Please turn to Slide 10. Specialty includes ProSolutions and ProContractor and now accounts for approximately $837 million of OEC fleet or about 22% of our total fleet as of the end of 2019. Our core fleet of aerial, material handling, trucks and trailers and earthmoving are all broken out on the slide. Average fleet age as of December 31, 2019 was 45 months compared with 46 months for the same period last year. Please turn to Slide 11. Our rental revenue by major customer segment for 2019 is shown in the composition chart on the left side of the slide. Contractors represented 33% of equipment revenue, followed by industrial customers with 29%. Other customers represented 20% and infrastructure and government increased to 18% of the total. National account revenue represented about 42% of the total for the full year and was down slightly compared to 2018. Local rental revenue for the full year increased 6% compared with 2018 and now represents 58% of the total rental revenue. Growth in new buster accounts continued to be solid throughout the year at both the local and national level. We are continuing to focus on maintaining a solid pipeline for future growth opportunities in all of our targeted end markets as well as growing the portfolio of equipment. Please turn to Slide 12. We added a total of seven new greenfield locations this year in high growth urban markets, such as Boston, Raleigh, Orlando, the metropolitan New York, New Jersey market, Dallas and in Hawaii. The map on this slide also shows the growth expectations by state and province over the next five years based on forecasts by the American Rental Association. Over the next five years, the ARA estimates equipment revenue growth in Nevada and Arizona to lead the nation with state primarily in the West, Southwest and Southeast regions to grow in the range of 4% to 6%. Our strategy to focus on the top metropolitan market will continue to drive our growth. We plan on opening six to 10 greenfield locations in 2020 by focusing on improving our scale in major urban markets will continue to improve the profitability of these urban centers. Industry growth is also expected to benefit from continued conversion of our own assets to rental in our industry. These secular trends will contribute to steady growth in our end markets as rentals expand beyond traditional rental equipment categories. The strategic initiatives that Larry reviewed earlier was the road map we followed to get us to this point in our journey. My top priorities going forward are to continue to focus on fine-tuning our strategies to accelerate our volume and revenue growth and to continue to focus on operational excellence. Training and development of our people are important components to serving our customers and expanding our markets. We intend to continue to review and enhance every touch point we have with our customers and invest in many areas that need further focus and opportunity. Our purpose statement will guide our behavior as we equip our customers and communities to build a brighter future. Now let me turn the call over to Mark Irion.
Mark Irion: Thanks, Aaron, and good morning, everyone. If we could turn to Slide 14 for the details of our fourth quarter and full year 2019 results. Equipment rental revenue increased 2.1% from $447.7 million to $457 million in the fourth quarter of 2019. As you heard from Larry and Aaron, all of our fourth quarter growth was organic, and was achieved with limited fleet cars. We focus on rate, manage our CapEx and are pleased with the results we achieved. We reported net income of $35.1 million or $1.20 per diluted share in this year’s fourth quarter compared with net income of $33.3 million or $1.16 per diluted share in 2018. Adjusted net income in the fourth quarter of 2019 was $38.9 million or $1.33 per diluted share, compared with $33.4 million or $1.16 per diluted share last year. More details regarding our net income bridge and the non-GAAP reconciliations are included in our appendix. Adjusted EBITDA in the fourth quarter 2019 increased 8.1%, it was $16 million to $214.4 million over the same period in 2018. Adjusted EBITDA margin improved 340 basis points year-over-year to 39.7% in the fourth quarter. The fourth quarter reflected excellent progress in terms of flow-through. We reported REBITDA flow-through of 263.3%, which benefited from actual reductions in SG&A and lower DOE. These are the kind of eye-popping flow-through results and we are full proud of the team. Our focus on rate growth, CapEx and self-help cost control initiatives, which helped to a small amount of rental revenue growth into a decent amount of EBITDA growth and a lot of free cash flow. As a result, we grew REBITDA margin by 430 basis points to 46.6% during the fourth quarter of this year. Slide 15 focuses on the changes in total revenues that includes Q4 and full year results, but as our results have been consistent all year, I’ll speak primarily to fourth quarter. Equipment rental revenue grew 2.1% to $457 million in the fourth quarter, solid improvement in pricing and mix were partially offset by lower volume. In Q4, we had a reduction in sales of rental equipment of $9.7 million, excluding currency. Q4 2018 was a good volume quarter for the used equipment sales, and we have been selling less in 2019 with an overall focus on our CapEx spend. On Slide 16, we see adjusted EBITDA for the fourth quarter was $214.4 million, an increase of 8.1% or $16 million compared to $198.4 million in the fourth quarter of 2018. The bridge starts with higher equipment rental revenue, up $9.4 million over prior year and now closer measure happens. Despite growth in rent revenues, direct operating costs were actually down $5.5 million from the fourth quarter of 2018. The team is particularly proud of these results as we kept the line expenses with improved operating efficiencies, primarily from delivery of freight. These reductions were partially offset in the fourth quarter by increased facility costs as well as increased personnel and personal related expenses. Selling, general and administrative costs were also down year-over-year primarily due to the reduction of bad debt and professional fees. As we’ve discussed, REBITDA measures the contribution of our core rental business without the impact of sales of equipment parts and supplies. We believe REBITA provides better comparison with our industry peers, as it excludes the impact of varying depreciation policies. Combination of improved rental revenues and reduction in our cash operating expenses led to off the chart REBITDA flow-through of 263.3%, and for over 430 basis point improvement in EBITDA margins to 46.6%. Overall, an excellent quarter and an excellent year for healthy revenue growth in self-help regions around cost control. Our fiscal year 2019 margin flow-through is over 169%, and our EBITDA margins improved by 310 basis points. Thank you to all of our Herc team members and your contributions to these results. Turning to Slide 17. On a cash basis, net fleet CapEx for the year was $414.2 million compared to $499.1 million in the prior year. Non-fleet capital expenditures for the full year were also down by $56.9 million from $77.6 million in 2018. For the fourth quarter of 2019, fleet expenditures that I received was $63 million, with fleet disposals of $188 million, generating about 38% of proceeds, down from 42% of proceeds to 2018. We sold approximately 50% of our fleet trucks in Q4 and option results were down a bit from prior year, probably more due to the condition of the fleet rather than a real weakness in the market. The average age of our disposals in the fourth quarter was 18 months. We reduced the average age of our fleet to approximately 45 months at the end of Q4 2019 from 46 months in the comparable period last year. Accordingly, we’ll break out this information along with the rolling balance of our product fleet is also in the appendix. On Slide 18, for the year ended December 31, 2019, free cash flow was $172 million compared with negative free cash flow of $7.9 million in 2018. This represents a substantial improvement in our free cash flow generation and consolidates our strategic initiatives in 2019 focused around rate, expense control and disciplined capital expenditures. Net leverage decreased to 2.8% – 2.8 times compared with 3.1x in the comparable period, and was solidly within our targeted range of 2.5 to 3.5 times. Total debt was $2.1 billion as of December 31, 2019, about the same as the prior year, with no near-term maturities as a result of refinancing of the notes from the ABL credit facility and expected refinancing of ABL facilities. We had ample liquidity of $1.1 billion as of December 31, 2019. On Slide 19, we look at the industry outlook, and we see certain economic and industry metrics have begun to report more positive signs regarding the economy. The architecture billings index, which is has full indicator of construction activity, nine to 12 months out, close to 52.2 in January in the fifth straight positive month. U.S. industrial spending forecast for 2020 estimate growth of 1.7% over 2019. Our conversations with industrial customers and contractors in our market and we get confidence for continued growth in spending in the short and medium-term horizon. U.S. nonresidential construction spending estimates for 2020 suggest a bit of a slowdown with a decline of 3.3%, the absolute dollar value of $289 billion in spending is substantially above 2016 and as students to sustain favorable rental demand. Longer term, the North American ARA forecast for industry equipment, rental revenue growth remains solid, with the compound annual growth projected at 3.6% through 2023. We look at our end markets in 2020 as being a slower, steady growth phase, similar to what we’ve been experiencing for the last five to six years. We believe that slow growth and an overhang of economic uncertainty benefits the rental industry as our customers hesitate to commit their own capital and rent equipment to satisfy their needs. On Slide 20, we have our guidance for 2020. Based on our expectation for steady demand in our key markets for 2020, we are looking to build on our 2019 success with solid organic growth in our rental revenues and a continued focus to tightly manage our operating expenses and CapEx. We’re initiating our guidance range for adjusted EBITDA for 2020. Our guidance range of $760 million to $790 million of EBITDA or an increase of 3% to 7% compared with 2019. Our guidance range of net fleet capital expenditure is $410 million to $450 million and assumes moderate year-over-year fleet growth. This capital spending, along with the expectation for improved EBITDA should contribute to strong free cash flow for the year. Our overall strategy is expected to continue to provide ample liquidity and the financial flexibility to fund our strategic growth, to improve our operating margins, to suit our customers and create value for our shareholders. Now I’ll pass the call back to Larry.
Larry Silber: Thank you, Mark. Before we move to Q&A, I’d like to summarize where we are today. Our strategic initiatives have continued to drive growth in rental revenues and improved dollar utilization. We improved adjusted EBITDA margin by 320 basis points to 39.7%. We increased dollar utilization 80 basis points to 40.5%. We improved year-to-date free cash flow from negative $7.9 million in 2018 to a positive $172 million in 2019. Our operating initiatives will continue to contribute to strong REBITDA flow-through for the full year 2019. As we start the new year, I want to express my thanks and congratulations to the entire Herc team for their contribution in this record year for us. We’re committed to the strategy we laid out four years ago and plan to achieve our stated goal through solid execution to improve value for our shareholders, customers and employees. And now to your questions. So operator, please open the lines.
Operator: Thank you. [Operator Instructions] And our first question today will come from Jerry Revich with Goldman Sachs.
Jerry Revich: Yes. Hi, good morning, everyone.
Larry Silber: Good morning.
Jerry Revich: Can you comment on the planned cadence of CapEx over the course of 2020? You had mentioned that you would have liked to have seen fleet on rent to be stronger exiting the year, and I’m wondering as you lay out the CapEx outlook, how back half loaded? Is it – how much flexibility do you have to move below the low end of the range if you so decide?
Mark Irion: Yes. Jerry, I mean the fleet CapEx wasn’t – doesn’t have any real connection to our volume in Q4 that typically comes in early in the year. So it’s simply loaded in Q1 and Q2, that’s just very typical, and that’s where it will have to begin this year. We were conservative with our CapEx last year, I think, which is we have to comment around sort of volume-wise, so we’re looking for volume growth out of time utilization and rate. And we certainly got the rate that Q4 sort of delivery provides the opportunities, the timing that we expected.
Jerry Revich: And obviously, two levers of time, one is the demand piece, but the other is how much capacity you folks choose deliver into the market? And just given the softer time in 4Q, should we think of a lighter CapEx in the first quarter versus normal seasonality? Or how do you think about the pace of CapEx is going to be rolled out?
Mark Irion: As far as we’re concerned, I mean, we’ve been very conservative with our CapEx in 2019. We’ll probably be looking for a little bit more fleet growth in 2020. But the demand is solid out there. There’s no real shock that we’re addressing. So we will – and the demand in Q1 that we’ve seen so far is typical of what we’d expect. So we’re going into 2020 pretty much with the same cadence and the same expectations that we’ve sort of raised up in 2019.
Jerry Revich: Okay. And lastly, can you talk about what level of improvement in dollar utilization you’re expecting with your 2020 outlook. It looks like at the midpoint of the range, you’re baking in a modest improvement in dollar you – at least – that’s how the math looks. Can you just comment on if that’s right? And if you expect a bigger contribution from price and mix versus utilization. That would be helpful.
Mark Irion: I mean our guidance has been pretty consistent in terms of dollars. So we’re looking for 100 to sort of 200 basis points of improvement year-over-year for the sort of next couple of years. That’s the goal that we set for ourselves. And certainly, we’re a long way to getting that goal in 2019 and expect to do the same in 2020. We’re probably not going to be able to lean on rate as high in 2020 as we did in 2019. We’re not going to consistently go and beat market by four times, but we will look to consistently beat the market. We’ve got success here, and we do want to continue to push on that lever, and we will continue to sort of look for time utilization improvement also to contribute to that. So that’s the best that we may be missed in 2019 but we’re going to focus real hard and go deep in 2020.
Jerry Revich: Thank you.
Mark Irion: Thank you. See you, next week.
Elizabeth Higashi: Operator, we can go on to the next question.
Operator: Yes. We’ll hear from Steven Ramsey with Thompson Research Group.
Brian Biros: Hi. Good morning. This is actually Brian Biros on for Steven. Thank you for taking my questions. I want to ask one about the end markets. I guess you gave some good commentary in the prepared remarks to make slow and steady, kind of similar to the last few years. Could you maybe compare how you feel now versus 12 months ago for your outlook? And if things are the same, worse, a little better. I’m just really trying to get a sense of how the end markets have evolved and kind of feedback you’re getting from the field on that.
Larry Silber: Yes. Good morning, Brian. This is Larry Silber. Yes, look, we’re pretty optimistic about the markets. We believe that we’re going to have another solid year. The markets are that we participate are reporting excellent type of project activity and expectations as we flow into what is the traditional construction season coming up here. We think that personally, and as a company, we’re probably a bit more positive today than we were a year ago. There was a lot of anxiety flowing around the beginning of 2019, with all the happenings in the government and some on stability and some unknown, all of that sort of been trued up or a presidential election year. We expect that there’ll be a fair amount of federal spending in large urban markets. On infrastructure work, which is sort of our sweet spot and where we expect that we’ll have a good opportunity to improve our volumes. So we’re as positive if not more positive going into 2020 than we were in 2019.
Brian Biros: That’s good to hear. And then just to second follow up. In some of our channel checks, you’ve heard some people mention certain markets are either oversupplied or getting to that kind of oversupply status in fleet. I was wondering, are you guys seeing any of that in any markets anywhere? I’m just trying to reconcile how that goes if industry is trying to generally maintain positive rates. And if it’s more challenging in certain markets if they are seeing that oversupply.
Mark Irion: Yes. I wouldn’t say that we see oversupply in any market. I think maybe by the end of 2019, supply headspace will catch, the supply growth has started to catch up to demand growth. I think we’re starting to see adjustments in the CapEx, sort of growth cadence from strong some other players in the industry, and we’re happy to see that, and we suspect that the industry is going to be able to adjust to the changing the conditions. But there’s still decent demand. There is plenty of fleet out there as a way to a competitive environment, but we don’t see any real dramatic signs of oversupply.
Brian Biros: Thank you.
Operator: And next, I’ll move to Brian Sponheimer with Gabelli Funds.
Brian Sponheimer: Hi, good morning, everyone.
Larry Silber: Hi, Brian, good morning.
Brian Sponheimer: You guys keep doing just a great job driving margin expansion here. Given that the revenue environment, is there anything on the SG&A or DOE side that kind of picks out as an area where you can improve even further?
Mark Irion: Yes. Brian, I mean we’re really happy with the results we got in 2019, obviously, they’re pretty dramatic, and something that we’re not going to be able to sort of maintain the sort of momentum forever. So we will be back, I suspect for 2020 to a slow growth in DOE and flattish SGA. Delivering freight is an area where we’ve got some big cost savings in Q4 and will continue to benefit in 2020, given we focus on the efficiency of logistics. And just continually improving some of our results there. So there are opportunities for continued efficiency, but it’s not going to be as dramatic as what you see in Q4.
Brian Sponheimer: Got it. And Larry, if you’re thinking about preparing your company for any sort of material correction in the market, can you walk through maybe the road map of first steps to make sure that you don’t get caught in an area where we’re exposed?
Larry Silber: Yes. Look, we’re – well, first of all, we don’t expect that to happen on – except if the unfortunately, issue that comes up. And – but if it did, look, initially, we would cut off CapEx. We are not sort of committed beyond a 60-day period out in terms of our purchase agreements with all of our vendors, so we would shut the pipeline off on new materials coming in. And then we would obviously look to deeply where it was appropriate. Where we saw those actions happening relative to the reduced brand and we’ll be fleet appropriately in an expeditious manner that will raise cash for us. And then we’ll look to have adjustments in our DOE and SG&A that would accordingly match that. So look, the formula is pretty easy in this industry. In fact, if there were a negative environment, we’ll generate a lot of cash in a negative environment.
Brian Sponheimer: The execution is certainly aggressive, best of luck for a great 2020.
Larry Silber: Thanks, Brian.
Operator: [Operator Instructions] Next, we’ll hear from Seth Weber with RBC Capital Markets.
Brendan Shea: Hi, good morning. This is Brendan on for Seth. As we look at your fleet composition, is there any notable strength or weaknesses you’re seeing by equipment type that you feel is worth calling out?
Larry Silber: Look, no, I think we’re fairly strong across all of our equipment categories. We’ve done an excellent job over the last 4.5 years of shedding the fleet that existed when we came into the company and good spend back in mid-2016. We’re pretty much beyond any of our remaining fleet. In fact, we had a great deal of that exit in the fourth quarter of 2019. And that was sort of 82-month-old type fleet that have been procured prior for the current leadership team coming in place. So we feel our fleet is pretty strong across the board and continue to look at the markets in which we now see to have the right fleet in the right markets, where are the hot hands, where do we need to grow based upon the opportunities. So we’re pretty comfortable with the makeup and the composition of our fleet as it is today.
Brendan Shea: Okay, thanks. And then earlier in the call, with the introduction of Aaron, you mentioned some of his experience involved M&A. Does that change the strategy at Herc at all, potential inorganic growth going forward?
Larry Silber: Well, as I’ve said from day one here, our primary focus is going to be on organic growth in the business, and that was for a number of reasons. We have ample opportunity to grow into our existing footprint and put more volume through our existing footprint. And that remains the same, particularly as we add additional footprint in these urban centers that are providing us with outstanding growth and future growth opportunities. That said, we are in an environment today, where we’ve completed all of the, what I would call handcuffs that might have prevented us from considering any opportunities. We now – we are not going to be actively looking for an opportunity, but something comes along that’s opportunistic, we might consider it. And certainly, Aaron’s experience both on the acquisition and integration of those will be a tremendous help deals if that opportunity arises.
Brendan Shea: Okay, great. Thank you.
Operator: And that will conclude today’s question-and-answer session. At this time, I would like to turn the call back over to Elizabeth Higashi for any additional or closing remarks.
Elizabeth Higashi: Thank you all for joining us on the call today. And as always, if you have any questions, please don’t hesitate to comment, and we look forward to seeing you all soon. Thank you.
Operator: And I will conclude today’s call. Thank you for your participation.